Operator: Welcome to Warner Music Group's Fourth Quarter 2015 Earnings Call for the period ended September 30, 2015. At the request of Warner Music Group, today's call is being recorded for replay purposes, and if you object, you may disconnect at any time. [Operator Instructions]
 Now I would like to turn the call -- today's call over to your host, Mr. James Steven, Executive Vice President, Communications and Marketing. You may begin. 
James Steven: Good morning, everyone. Welcome to Warner Music Group's fiscal fourth quarter and year ended September 30, 2015, conference call. Both our earnings press release and the Form 10-K, we filed this morning, are available on our website.
 Today, our CEO, Steve Cooper, will update you on our business performance and strategy. Our Executive Vice President and CFO, Eric Levin, will discuss our financial condition and results. And then both of them will take your questions.
 Before Steve's comments, let me remind you that this communication includes forward-looking statements that reflect the current views of Warner Music Group about future events and financial performance. All forward-looking statements are made as of today, and we disclaim any duty to update such statements.
 Our expectations, beliefs and projections are expressed in good faith, and we believe there is a reasonable basis for them. However, there can be no assurance that management's expectations, beliefs and projections will result or be achieved.
 Investors should not rely on forward-looking statements because they are subject to a variety of risks, uncertainties and other factors that can cause actual results to differ materially.
 With that, let me turn the call over to Steve. 
Stephen Cooper: Good morning, everyone. Happy holidays, and thanks for joining us today. I'm pleased to report another very good quarter, topping off a great year for the Warner Music Group. For the year, we grew total revenue by 6%, with the U.S. up 3% and international up 9%. We grew digital revenue by 10%. We grew OIBDA by 28%, with margin expansion of 3.5 percentage points to 14.7%, and we generated cash from operations of $222 million, up from $130 million in the prior year. Our fourth quarter was also very strong. We grew total revenue by 7%, digital revenue by 20%, OIBDA by 6% and OIBDA margin by 1.2 percentage points to 15.1%.
 It's worth highlighting that this marked the fourth consecutive year that we grew combined digital and physical revenue in our Recorded Music business, and this year, both segments grew. It is all the more impressive that our sustained growth story is taking place against a backdrop of a music industry that is still going through an uneven digital transformation. For example, we had a 2% increase this year in physical revenue, a segment that has been in steady decline for 15 years. While we're optimistic about the long-term health of the music industry, we're also focused on creating our own opportunities and charting our own course.
 As we shared last quarter, our strategic priorities include producing a steady and balanced stream of great music, strengthening our reach around the world and pioneering new commercial possibilities. I'd like to provide you with an update on each of these priorities and explain how they are driving our results.
 First, we remain focused on delivering a consistent flow of great releases. We're achieving this goal by drawing on the collective strength of our entire global organization, with hits coming from many different repertoire centers around the world. In fiscal '15, our top 25 global sellers had a wide territorial reach, featuring established superstars from the U.S., such as Josh Groban and Jason Derulo, and big international names, such as Muse from the U.K., David Guetta from France and Superfly from Japan. In addition, the list contains artists at all stages of their careers from new talents, such as Clean Bandit to legends such as Pink Floyd. Ed Sheeran's sophomore album, Multiply, was our biggest seller this year, hitting #1 on the charts in 15 countries. In addition, Ed's tracks have been streamed nearly 3 billion times on Spotify, with his single, Thinking Out Loud, becoming the first in history to surpass 500 million Spotify streams.
 Digital technology is enhancing the viral spread of music, and great music is traveling around the globe faster than ever before. This year was a perfect example of what we can accomplish when the flow in music from every corner of our company is combined with great local execution. As a result, in fiscal '15, we punched nicely above our weight. We saw local stars, such as Sweden's Måns Zelmerlöw and Spain's Pablo Alboran, break out of their home territories and build international fan bases for the first time. In addition, many of our newly signed artists have had first hits of their careers in places other than their home territories. This includes Sweden's GALANTIS in the Netherlands and the U.K.'s Jamie Lawson in Australia. Importantly, fiscal '15 is shaping up to be another well-balanced year in terms of our release schedule, beginning with Coldplay's seventh studio album, A Headful of Dreams, which was released last Friday and is off to a great start worldwide.
 Second, we're focused on sustained growth on a global basis, not just in the U.S. and U.K. Around the world, the opportunities for revenue growth vary greatly. From territory to territory, there is huge diversity in revenue mix. For example, according to IFPI data for calendar '14, 82% of Japan's revenue was physical, while 83% of Sweden's is digital. There's also huge diversity in the appetites for international repertoire. In Indonesia, 87% of revenue is domestic, while in Chile, 91% is international. As a result, as we look to grow revenue across all of our territories, we are very thoughtful about tailoring our strategies to the unique conditions that exist in each market. This year, through a combination of initiatives, we have made particularly strong progress in countries that were previously ripe with piracy. For example, in Brazil, we continued our investment in domestic music, breaking 2 new superstars, Ludmilla and Anitta. We were also the first major to license our physical releases to a third party, redeploying the resulting cost savings to A&R and marketing. In Eastern Europe, we published the Polskie Nagrania catalog, continuing our strategic acquisition of local Recorded Music assets, which began with the Parlophone label group and was followed by investments in Russia, China and South Africa. In China, we've aligned our interest with the Internet giant, Tencent. This deal represents a significant step in creating a legitimate music market in China, and it turbocharged our presence in the region just a few months after our acquisition of the Gold Typhoon catalog.
 As a result, our performance in key emerging markets has been outstanding, with 2015 revenue up nearly 60% in China, 35% in Russia and 25% in Latin America. At the same time, we've continued to grow in our core territories. For example, in Germany, the world's third-largest music market, our revenue increased 12% this year, thanks to outstanding execution by our local team.
 In particular, we enjoyed huge success with Robin Schulz. Robin has had 5 Top 10 hits in Germany and has also become one of the most successful German artists outside his native country. His latest track, Sugar, went top 10 in France, Italy and Sweden, and hit #1 in Germany, Austria and Switzerland. As we have capitalized on opportunities in territories outside the U.S. and the U.K., we've seen our revenue in those markets experience more significant growth. Specifically, our total global revenue grew 6% this year, while our x U.S. and U.K. revenue was up 8%.
 Thirdly, we've established ourselves as a leader in the industry's digital transformation. In May, we were the first major to report that our quarterly Recorded Music revenue from streaming had exceeded our revenue from downloads. Today, we are the first major to reach another milestone. 2015 was our first fiscal year in which our Recorded Music streaming revenue exceeded download revenue, and it did so by a significant amount. For fiscal 2015, our streaming revenue grew 34%, with the fourth quarter up an impressive 47%, the highest growth rate of any quarter this year. Streaming continues on a trajectory to become our largest revenue source, and recent industry data underscores this point. In June, Spotify announced it had 20 million paying subscribers, roughly double where it was in the prior year. In September, the RIAA announced that during the first half of calendar '15, industry streaming revenue in the U.S. had grown 23% to a bit over $1 billion, accounting for a third of U.S. revenue. I should note that those last 2 steps cover the period
 [Technical Difficulty]
 Whoa, I just wanted to introduce a little Christmas cheer. I'm not real sure what's happening. I'm sorry I think somehow you have crossed your lines with our conference call.
 [Technical Difficulty]
 I want to apologize. We seem to have gotten one of our main trunk lines crossed with another line, but hopefully, we're back on, and hopefully, everybody can hear me.
 So where was I? We were talking about us taking leads in commercialization, and I wanted to note that the 2 stats that I gave about digital growth and announcements from the RIAA cover the period before the launch of the Apple music subscription service. While the long-term impact of this launch remains unclear, early signs are encouraging. With services such as Spotify and Deezer joined by the services of giants, such as Apple, Google and Amazon, we now have meaningful competition in the subscription streaming business. This is especially positive when you remember that the download space has been dominated by Apple for well over a decade. While there are plenty of reasons to be upbeat about the future of the music industry, we remain vigilant when it comes to receiving fair value for our music. We are continuing to work with our partners to improve monetization and are carefully monitoring ongoing developments in the streaming space. As the contest for consumer time and money heats up, we would expect to see industry consolidation in the subscription streaming business. This consolidation will likely intensify competition among key players, hopefully leading to better marketing, faster innovation and a greater demand for music.
 Turning to our detailed results, starting with Recorded Music. For the year, Recorded Music revenue rose 7% with every segment contributing. Digital led the way as our largest source of revenue, growing 10%; physical was up 2%; and licensing revenue grew 16%, owing in part to strong sync activity. For the quarter, our Recorded Music revenue rose an impressive 8%, with 21% growth in digital, driven by a 47% increase in streaming. During the quarter, we celebrated #1 albums all over the world. Artists who marked their first #1 albums in the quarter included Jess Glynne in the U.K. with her debut album, Meek Mill in the U.S. and Canada and Lianne La Havas in the Netherlands. Artists who scored their second #1 albums included Rudimental in the U.K. and Jill Scott in the U.S. We also saw artists with long fruitful careers continue to break new creative and commercial ground. For example, Disturbed's sixth album was their fifth consecutive U.S. #1; and Iron Maiden's 16th album topped the charts in 24 countries, including their fifth #1 in the U.K. I'm pleased to say that there's a lot more great music on the way from the Warner Music Group. In Q1 of fiscal '16 alone, we have new releases from Coldplay, Enya, Missy Elliott and Seal as well as the Grateful Dead's Fare Thee Well recordings from their final concerts this summer.
 Turning to Music Publishing. For the year, Music Publishing revenue rose 1%, with 8% growth in digital revenue and 6% growth in sync, compensating for a slight decline in performance revenue in softness and mechanical. For the quarter, Music Publishing revenue rose 5%, with softness in mechanical and performance offset by 17% growth in digital and 22% growth in sync. Our Music Publishing results continue to be driven by our ability to attract and nurture the world's best songwriters and composers. In the past few months, we've signed a new agreement with hit-maker Taio Cruz and extended our partnerships with Grammy award-winning rock band, Muse, and 2-time ASCAP country songwriter of the year, Ben Hayslip, among others.
 In the quarter, Warner/Chappell songs had an approximate 20% share of the U.S. radio market. That's the highest share Warner/Chappell has recorded since Billboard of began tracking spins in 2006. Also in the quarter, Warner/Chappell songs had a 21.5% share of U.S. country radio, again, the highest in our history.
 Our team also celebrated some landmark achievements. In the U.S., we were named ASCAP country publisher of the year for the third year running. At the Latin Grammy Awards, our songwriters picked up top honors, including producer of the year and best rock song. And in the U.K., Benjamin Clementine won the U.K.'s prestigious Mercury Prize.
 Finally, I'd like to highlight the fact that last month, Jon Platt was promoted to the role of Warner/Chappell's Global CEO, following an incredible run as the company's president for North America. This past Monday, many of our recording artists and songwriters were recognized by the Recording Academy with nominations for the 58th annual Grammy Awards. In fact, we earned nods in 23 out of the 29 fields. Notably, Atlantic's Ed Sheeran earned nominations in 3 coveted categories for Thinking Out Loud: record of the year; song of the year; and best pop solo performance. Also earning 3 nominations was the Wiz Khalifa-Charlie Puth collaboration, See You Again, their hit from the Furious 7 Soundtrack. Other of our recording artists who received more than one nomination include Andra Day, Skrillex and Diplo, Emmylou Harris, Rodney Crowell and Ashley Monroe.
 Warner/Chappell also had a strong showing, and in total, our songwriters received 17 nominations across the 8 songwriting categories, including 3 in the coveted song of the year category and all 5 of best R&B songs. And songwriter, Kendrick Lamar, was the most nominated artist this year with 11 nods, including album of the year, song of the year and best rap song. We wish all of our nominees the best of luck at the awards in February.
 In conclusion, I'm extremely encouraged by our momentum. Our results are a testament to our great music, our great artists and songwriters and our great global team. There's a lot to remain excited about and I look forward to our continued success in fiscal '16.
 With that, I'd like to turn the call over to Eric. 
Eric Joshua Levin: Thank you, Steve, and good morning, everyone. Let me first note, we're presenting certain non-GAAP results during this conference call. Please note that all revenue figures and comparisons discussed today are presented in constant currency, unless otherwise noted. We have provided schedules reconciling these results to our GAAP results in our earnings press release posted on our website.
 Our fourth quarter and full year results are impressive, owing to outstanding music, strong growth and streaming revenue and excellent execution globally. We grew on the top and bottom line, all the while leaving flexibility to reinvest in the business. We stay focused on cost and cash management throughout the year and saw significant improvement in key financial metrics. As I reflect on my first full year at Warner Music, I'm pleased by our progress and excited by our potential.
 Turning to our results. In the quarter, total revenue was up 7%, and for the year, it grew 6%. Currency continued to impact as-reported results, with a 10 percentage point drag on revenue growth for the quarter and an 8 percentage point drag for the year. So that on an as-reported basis, our revenue declined 3% for the quarter and 2% for the year. From an OIBDA perspective, certain adjustments are necessary to make the year-over-year comparisons more meaningful. We have highlighted these in our press release, but let me walk you through them. In the quarter, we had $1 million in PLG-related expenses, which is down significantly from $16 million in the prior year quarter and $7 million in expenses related to other cost savings initiatives versus none in the prior year quarter. For the quarter, adjusted OIBDA, which excludes these items, declined 2% to $121 million or was up modestly if also excluding a one-time Music Publishing-related benefit in the prior year period. Adjusted OIBDA margin rose 10 basis points to 16.1%. For the year, adjusted OIBDA rose 1% to $465 million and adjusted OIBDA margin expanded 50 basis points to 15.7%. Currency had a moderate tempering effect on OIBDA for both the quarter and the full year.
 Recorded Music quarterly revenue was up a healthy 8%. Digital revenue increased 21%, driven by growth in streaming and a lower rate of decline in downloads. Physical revenue was down 14%, reflecting industry trends and timing of releases. Licensing revenue grew 8% in the quarter, primarily related to sync activity. Artist Services and Expanded Rights revenue rose $14 million or 17% in the quarter, driven by the timing of European tours. For the year, Recorded Music revenue grew an impressive 7%. Recorded Music adjusted OIBDA was up 6% to $85 million in the quarter and Recorded Music adjusted OIBDA margin rose by 1.1 percentage points to 13.5%. The margin increase was driven by benefits from revenue mix as well as continued cost management. For the year, adjusted Recorded Music OIBDA grew 6% and Recorded music adjusted OIBDA margin expanded 1 percentage point to 15.9%.
 Music Publishing revenue rose 5% in the quarter in constant currency, but declined 5% on an as-reported basis. Mechanical revenues declined 5%, directly associated with the overall declines in the physical business, but digital revenue was a standout, increasing 17%. Sync rose 22% and performance declined 4%. Music Publishing OIBDA declined 15% for the quarter, with OIBDA margin down 5.1 percentage points to 47.2%, driven by the as-reported revenue decline and in part, by a one-time benefit in the prior year period. For the year, Music Publishing revenue rose 1% in constant currency, but was down 7% on an as-reported basis.
 Digital revenue rose 8%, more than compensating for continued softness in mechanical revenue, which is attributable to declining physical sales. Sync revenue rose 6%, and there was a slight decline in performance revenue. Also for the year, Music Publishing OIBDA fell 12%, with margin down 1.8 percentage points to 30.3% due to the same factors which impacted the quarter.
 We remain focused on cash and working capital management. Operating cash flow was $104 million for the quarter and $222 million for the year, up significantly from $130 million for fiscal '14. For the year, CapEx came in at $63 million. As expected, this represented a decrease versus the prior year spend of $76 million, driven by lower PLG-related costs and lower costs related to the company's 2014 headquarters move, which were partially offset by continued investments in IT systems.
 For fiscal 2016, we expect to have no cost related to moving our headquarters versus about $15 million in fiscal 2015. That said, we will continue to invest in IT. Our cash balance was $246 million as of September 30 with no outstanding revolver draw during or at the end of the quarter as compared to a cash balance of $157 million at the end of fiscal '14.
 I'd like to make a few additional notes before I close. First, you may have seen news coverage of the settlement related to the Happy Birthday copyright. While we respectfully disagreed with the court's decision in September, we are pleased to have now resolved this matter. Recognizing that this is a class action settlement, the terms will need to be approved by the court and are not yet public. That said, I wanted to let you know that the settlement is not material to our results.
 Second, I want to remind you that the December quarter, the first quarter of our fiscal year, is traditionally a negative working capital quarter due to normal operating activity.
 Third, we, Sony, Universal and ABKCO recently reached a settlement with Pandora related to pre-72 sound recordings. As part of this important deal, Pandora will pay $90 million to the plaintiffs. This follows the $210 million settlement with SiriusXM related to pre-72 sound recordings discussed last quarter. The process of allocating these settlements is underway, and we expect to begin to flow these through our results during fiscal 2016. As a reminder, we will be treating our allocations of the settlement proceeds like any other payment from SiriusXM and Pandora with the artist share being distributed through SoundExchange.
 And fourth, we remain focused on bringing down our leverage ratio. While no decision has been made on any specifics, including any decisions related to our Holdco notes, we continue to carefully evaluate all options for the best use of cash. I have every confidence in our ability to continue delivering growth on the top line, bottom line and in free cash flow for fiscal 2016 and beyond.
 With that, operator, please open the line for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Aaron Watts with Deutsche Bank. 
Aaron Watts: Appreciate all the details, as always. One clarifier for me. I think you said streaming growth in the quarter, at least on the recorded side, was 47%. What was the download decline in the quarter? 
Eric Joshua Levin: Download decline remains stable with the past, if anything, slightly better. It was below 10% and on a constant currency basis, rose significantly below 10%. 
Aaron Watts: Got it. Okay. And then, as we think about the cost base that you're now operating at, I know you talked about the headquarter costs coming down in fiscal '16, any other kind of big moving levers on the cost side that we should think about additive or kind of taking away from that over the next 12 months that we should factor in? 
Eric Joshua Levin: So you're asking cost in both directions. So additive, I don't see anything coming at this point that would be additive. On the additional cost savings, which is, I guess, you'd look at, we did have a cost savings program in '15, which was quite effective. We're looking at a series of initiatives going forward, some of which would rely on incremental technology to find efficiencies. And otherwise, we're not announcing anything today, but we're developing a series of programs. When we have something that's ready to launch, we'll make sure that we share that, but it is part of our culture and it is something that we're working aggressively towards. 
Aaron Watts: All right. And I know we've talked about this on past calls. As we think about kind of revenue translation down to EBITDA, as streaming becomes a bigger component of your revenue pie, is there any reason why we shouldn't see the flow-through continue from revenue to EBITDA or see a change, I guess I should say, from the experience of the past? 
Eric Joshua Levin: I would say 2 things. I think that digital revenues have -- tend to have and have a higher margin than physical revenues because you don't have the physical production and physical supply chain. However, within digital revenues, streaming versus download, in general, you'll have comparable margins differing depending on artist agreements, et cetera. But as streaming grows, if it's eating into physical, we would expect to see margin accretion. If it's coming from downloads, then you'd see less of that. 
Aaron Watts: Okay. And last question from me. There's been some reports over the past week of Spotify, on a case-by-case basis, perhaps allowing artists to put their music on the platform, even if it's not available to all their subscribers, just the paying ones. How do you think about that from your seat? Is it good that they may make that change? Or is that not necessarily as positive a change or not a material change? 
Stephen Cooper: We haven't been able to verify that position, Aaron. So just speaking hypothetically, we believe that being able to differentiate between a free and a premium service makes sense. That being said, we'll have to wait and see if the Spotify position is verified by Spotify per se, which to date, we haven't been able to do. 
Operator: Your next question comes from the line of David Farber with Crédit Suisse. 
David Farber: Some of my questions have been asked, but I did want to talk a bit about -- I think on December -- mid-December '14, we might hear more on the streaming and royalties for '16 and '17. So maybe you could update us on your thoughts and what you're hearing and how do you think that could impact your business either positively or negative? And then I have a couple of follow-ups. 
Stephen Cooper: Well, we could -- we continue to feel good about the SoundExchange case. We thought that the content providers had very, very good arguments. We'll know in the next few days as to how this situation turns out. I think that the decision has to be rendered no later than the 15th, David, but our expectations are positive. 
David Farber: Okay. That's helpful. On cash flows, I just had 2 questions. You touched on it a little bit in the beginning, but just on the currency side, anything you guys are considering to alleviate some of the currency concerns just inherent in the business? And then second, there's obviously some seasonality in the working capital as you talked about, at least historically, in the cash flows. I'd be curious to hear what you think the cadence is of the cash flows in '16, anything we should think about there? And then that's it for me. 
Eric Joshua Levin: Appreciate it, David, thank you. Let me tackle both of those. So on currency, clearly, the dollar has been strengthening and that has an impact on revenue. We should note 2 things: one is that our cost of our international affiliates are largely local, so there's a natural hedge with operating costs and the impact on OIBDA is more moderate than on revenue. Two is we have commenced a hedging program. And although we hedge cash flows and OIBDA, it is a reasonable approximate of that and will be helpful. We do want to continue to urge a little bit of caution there. I always say that we're not in a manufacturing business that's highly predictable month in and month out, we're in the music business, where individual performance of releases is variable and timing of releases can move. So we have to be somewhat conservative in our hedge ratios, but we have begun that program, and we expect it to be effective -- or we've done it, and that what we think is an effective way to be helpful going forward. On working capital, our forecasts indicate most likely that some of the key things that indicate trends of the past will repeat in the future. So the first fiscal quarter of every year is a heavy working capital quarter related to a series of things, in part because of the holiday season and physical manufacturing that comes in that quarter when collections come in later, in part due to royalty and interest and in our payments that begin to fall in that quarter. So we start slow and then build throughout the year. So the first quarter we expect to be one with working capital needs, and then obviously, we expect to build and improve throughout the year. 
David Farber: That's helpful. And then just very high level, if you could just talk a little bit more about the release schedule in '16, anything you're particularly excited by, either front half or back half-related? And then that's it for me in total. 
Stephen Cooper: Well, we're excited about all of our releases, but what we try to do I think is, as we've mentioned a couple of times, is to have balanced releases throughout the year and have a constant flow of music that moves both globally and locally. We should have a number of our very prominent artists hopefully dropping music during this fiscal year, and at the same time, at the local level, both our local and regional artists, and as we've seen over this last year, they can go globally at any time, David, continue to be very productive. So I'm hopeful that will continue throughout '16. 
Operator: Our next question comes from the line of Davis Hebert with Wells Fargo. 
Davis Hebert: I wanted to ask you a question on the publishing side of the business. I think there's been some speculation in the press that one of the largest publishing catalogs could be looking at strategic alternatives. And I know you can't really comment on that specifically, but I just wanted to know your interest in owning more publishing assets given the changing landscape on the streaming side versus looking at Recorded Music opportunities. And then secondly on publishing, just kind of curious if you see more opportunities like the deal we saw with Pandora and Sony recently. Do you feel like there's going to be more of these sort of privately negotiated deals away from the CRB? 
Stephen Cooper: Well, on the first, we are constantly both on the Music Publishing side as well as the Recorded Music side looking at opportunities to acquire additional assets. That's just a normal ongoing aspect of our business, David (sic) [Davis]. We don't, however, acquire assets if, in fact, we don't believe that we can acquire them from a reasonable, rational, financial perspective. And we do not look to acquire market share for the sake of acquiring market share if we don't believe that it can be profitable and profitably managed. Every year, we probably look at 1, 2, 3, 4, 5 dozen opportunities to acquire more catalogs on the Music Publishing side. And I think as we continue to report, we -- I think the number's probably less, but we continue to look at opportunities on Recorded Music. And when they make financial and operational sense for us, we spring on them. 
Davis Hebert: Okay. That's helpful. Maybe if I can ask one on the streaming side. Again, you said the growth was 47%. I just want to understand how much of a skew in streaming is there toward the U.S. versus international? I know international can be a pretty broad-based bucket, but I wanted to get a sense for how sustainable perhaps that streaming growth [indiscernible]. 
Stephen Cooper: Well, when you -- I'll give you kind of a top-down view, and then Eric can comment on some more specifics. But when you look at streaming today, it's my understanding that globally, there is somewhere between 40 million and 50 million paying subscriptions. And when you look at that as a percentage of the global population of 7.5 billion people, plus or minus, it looks to me as if we have barely scratched the surface by way of the upside potential for both premium and free models on a global basis. And so I'm hopeful that because of that, we will continue to see, relatively speaking, very, very, very robust growth. When you look in United States, I think that there is, from the numbers we get, something in the area of 10 million, plus or minus, paying subscribers. And when you think about that, that's 3% of the U.S. population. When you look at those countries, the Nordics, Benelux, where streaming has had more opportunity to take root and grow, music delivered vis-à-vis streaming is a very, very high percentage. In some of the Nordics, it's 70% or 80%. So I think that also speaks to the potential opportunities with respect to our domestic market in addition to the comments on international. Eric, do you want to add anything to that? 
Eric Joshua Levin: Yes. Thanks, Steve. I'll just add one quick point. David (sic) [Davis], to get to kind of part of what I think you're interested in, it's very balanced, both in terms of the base streaming revenue and the growth of streaming revenue, it's very balanced between U.S. and international. And we would also say that international isn't dominated by a market, it's across many markets globally. So it's really an extraordinary global balance in terms of the base and growth and where it comes from. 
Stephen Cooper: Anything more, David (sic) [Davis]? Hello? David (sic) [Davis]? Hello? All right. Well, I guess that's it. So before we go, one, I'd like to apologize one more time for the technical breakdown today in the conference call. We'll take whatever steps we have to take to hopefully ensure that it's not a repeat performance, so to speak. And I want to wish everybody a very, very happy, safe, warm, comfortable, relaxing and enjoyable holiday season. And we look forward to chatting with you in 2016. Thanks, everybody. Bye-bye. 
Operator: This concludes today's conference call. You may now disconnect.